Executives: Sharon Haward-Laird - Head, Corporate Communications and Investor Relations Bill Downe - Chief Executive Officer, BMO Financial Group Tom Flynn - Chief Financial Officer, BMO Financial Group Surjit Rajpal - Chief Risk Officer, BMO Financial Group Darryl White - Group Head, BMO Capital Markets Cam Fowler - Group Head, Canadian Personal and Commercial Banking, BMO Financial Group Mark Furlong - Group Head, U.S. Personal and Commercial Banking and Chief Executive Officer, BMO Harris Bank N.A. Gilles Ouellette - Group Head, Wealth Management Frank Techar - Chief Operating Officer, BMO Financial Group
Analysts: Sumit Malhotra - Scotia Capital Markets Steve Theriault - Bank of America Merrill Lynch John Aiken - Barclays Capital Gabriel Dechaine - Canaccord Genuity Robert Sedran - CIBC Meny Grauman - Cormark Securities Mario Mendonca - TD Securities Brian Klock - Keefe, Bruyette & Woods, Inc. Peter Routledge - National Bank Financial Sohrab Movahedi - BMO Capital Markets Darko Mihelic - RBC Capital Markets
Operator: Please be advised that this conference call is being recorded. Good afternoon and welcome to the BMO Financial Group's Q1 2015 Earnings Release and Conference Call for February 24, 2015. Your host for today is Ms. Sharon Haward-Laird, Head of Corporate Communications and Investor Relations. Ms. Haward-Laird, please go ahead.
Sharon Haward-Laird: Thank you. Good afternoon, everyone and thanks for joining us today. Our agenda for today's investor presentation is as follows. We will begin the call with remarks from Bill Downe, BMO's CEO; followed by presentations from Tom Flynn, the Bank's Chief Financial Officer; and Surjit Rajpal, our Chief Risk Officer. After their presentations, we will have a short Q&A period during which we will take questions from pre-qualified analysts. To give everyone an opportunity to participate, please keep it to one or two questions and then re-queue. Also with us this afternoon are Frank Techar, Chief Operating Officer; Cam Fowler Head of Canadian P&C; Mark Furlong from U.S. P&C; Darryl White from BMO Capital Markets and Gilles Ouellette Head of Wealth Management. On behalf of those speaking today, I note that forward-looking statements may be made during this call, actual results could differ materially from forecasts, projections or conclusions in these statements. I would also like to remind listeners that the Bank uses non-GAAP financial measures to arrive at adjusted results to assess and measure performance by business and the overall Bank. Management assesses performance on both a reported and an adjusted basis and considers both to be useful in assessing underlying business performance. Bill and Tom will be referring to adjusted results in their remarks, unless otherwise noted. Additional information on these adjusted items, the Bank's reported results and factors and assumptions related to forward-looking information can be found in our Annual Report. And our first quarter report to shareholder and with that I will hand things over to Bill.
Bill Downe: Thank you, Sharon, and good afternoon. We appreciate everyone joining us from the call today. The economic environment in the first quarter has been unsettled, underscored by movements in oil prices, lower long-term interest rates and the rapid decline in the Canadian dollar. Against this backdrop, BMO's underlying business results in the first quarter were solid. U.S. personal and commercial banking and traditional wealth posted good results, our Canadian P&C business continue to grow, although at a slower pace than we saw last year and results in capital markets improve from Q4 but continue to be impacted by the current environment. Our insurance business which is sensitive to long-term interest rates, face a significant headwinds from declines and long-term rates during the quarter. Tom is going to take you through the financial results in a few minutes but I want to speak first to some of the elements that give us continuing confidence in the Bank's ability to respond to evolving market conditions and deliver sustained growth. Net income in the quarter was $1 billion or a $1.53 per share, excluding the impact of the decline in long-term rates and loan accounting earnings were up 5% year-over-year. Both loans and deposits were up 9% from a year ago. Credit performance in the quarter continue to be good as higher provisions were largely driven by lower recoveries compared to last year and Surjit will provide more detail on that shortly.  BMO’s common equity Tier 1 ratio remains strong at 10.1%, during the quarter we repurchase 3 million shares reflecting our commitment to return capital to shareholders. As I said it summarize the underlying results in the quarter is solid. Turning to the operating groups, our combined personal and commercial banking earnings were $708 million, up 6% year-over-year, demonstrating the power of having almost 1600 branches serving our customers across our North American footprint.  In Canadian personal and commercial banking, earnings were $503 million, up 4% year-over-year, this growth was lower than the strong performance we have seen over the previous six quarters, but we remain confident in the foundations we build and our ability to adapt to the changing market environment with the clear strategy for how we’ll compete in this business, which we described in some detail last month in our Investor Day. Every part of the strategy is based on a deep understanding that our customers believe that money is personal and their bank should be too and how we merge the digital and physical environment only serves to reinforce these concepts. This quarter we launched our combined BMO banking and investor line iPad app, becoming the first major Canadian bank to have a single app which provides customers access to both personal banking and self-directed investment accounts, all in one place and we continue to see very positive results from our second release of mobile banking with over 4 million downloads in total. We’ve also launched BMO DepositEdge which provides businesses with the ability to deposit cheques remotely and while this was slower quarter for Canadian P&C, we expect better results in the second half of the year. Our U.S. personal and commercial banking business had another good quarter, continuing to demonstrate the improving trends in revenue and earnings growth that we delivered in the second half of 2014. Net income was $205 million or $172 million in source currency. Pre-provision pretax earnings growth was strong, up 6% and source currency from last year. Total loan growth was also strong with balances up 10% year-over-year, core commercial lending growth remains robust with double-digit growth in C&I loans, our pipelines remain strong. In the context of still strengthening U.S. economy, the benefits of our U.S. footprints are becoming increasingly apparent. Wealth management earnings in the quarter were $186 million including the impact of the significant decline in long-term interest rates during the first quarter. When long-term rates eventually rise, there will a corresponding benefit in our wealth management business. Our traditional wealth business posted net income growth of 28% year-over-year reflecting good organic growth in client assets and the addition of the acquired at F&C business. Assets under management and administration increased to over $800 million. BMO funds were recently recognized as one of the top performers in 2014 Barron's/Lipper Fund Family Ranking coming in second among U.S. fund providers. After introducing 21 new funds over the past two years, BMO Global Asset Management now has 45 U.S. funds with $14 billion in assets under management. Annual earnings and traditional well growing at a compound rate of 24% over the last five years. Capital market results improved from last quarter, despite the impact of credit and funding valuation adjustment both were down from the strong levels we experienced in the first three quarters of 2014. Our capital markets business remains well-positioned in the current environment with good opportunity to gain share in the US mid-cap market. Before I wrap up, I only take a minute to acknowledge Eric Tripp has been a leading force in BMO capital markets for thirty years. Eric was President of BMO Capital Markets from 2008 until late last year when he stepped down in anticipation of his retirement. Eric has been a mentor to many people and capital markets and champion for diversity in our company. Eric will be leaving BMO in this spring and I want to thank him on behalf of all of us in the organization for his many great accomplishments, in the BMO Financial Group. To conclude, as I said at our last earnings call, the current operating environment posses both challenges and opportunities. In this environment, we are keeping a close check on expense growth. At the same time, with our advantage business mix, our diversified North American footprint and our clear and consistent focus on customer experience, we expect revenue growth to pick up over the remainder of the year and with that Tom I will turn it over to you.
Tom Flynn: Thanks, Bill, and good afternoon. Turning now to slide eight, Q1 EPS was $1.53 and net income was 1 billion. As Bill said, underlying business results for the quarter were solid, up 5% excluding the impact of long-term interest rates on insurance and loan accounting reflecting the benefits of our diversified business model. Two of the larger items in this quarter's results were stock-based compensation for employees eligible to retire which reduce EPS by $0.09 and the impact of interest rates on the insurance business which reduce EPS by $0.06. Our capital markets business was also impacted by some additional market driven items which I’ll speak to in a few minutes. Revenue was 5.1 billion, up 13% from last year, or 10% excluding the impact of the stronger U.S. dollar driven by growth in Canadian P&C and wealth management. As you have seen, beginning this quarter and to align our disclosure with peers, we will report insurance claim commissions and changes in policyholder benefit liabilities or CCPB as a separate line item on the income statement. Previously, this item was reported as a reduction in insurance revenue. Revenue was up 5% from the prior year, excluding the CCPB adjustment. Net interest income was up 5% year-over-year and 2% from the prior quarter due to volume growth and the impact of the stronger U.S. dollar, partially offset by lower net interest margin and lower revenue from purchase performing loans. Noninterest revenue was up 20% from last year and 15% from the prior quarter, primarily due to a significant increase in insurance revenue. Excluding insurance, noninterest revenue was up 6% year-over-year with increases in particular in traditional wealth related revenues in part due to the acquisition of F&C which was partially offset by lower trading revenues, underwriting and advisory fees, card fees and security gains. Q1 expenses were up 11% from the prior year, excluding the impact of the stronger U.S. dollar and the addition of the F&C expenses were 4%, reflecting higher technology, regulatory and employee costs, The expenses were up from Q4 due to the stronger US dollar and 87 million pretax or 61 million after-tax of stock-based compensation for employees eligible to retire that is expensed in the first quarter of each year. Excluding these two items, expenses were down 1% from the prior quarter. The effective tax rate of 12.2% was down primarily due to higher tax income offset in part by provisions for prior period income taxes. The rate was 24.7% on TEB basis down from the prior year and up from Q4. Moving to slide nine, our common equity Tier 1 ratio was 10.1% unchanged from Q4 as higher CET 1 capital was offset by higher risk-weighted assets. Risk-weighted assets increased meaningfully in the quarter, with 14 billion of the 16 billion increase due to the stronger U.S. dollar. The capital ratio has been managed so that it is not significantly impacted by this U.S. dollar driven increase. The remaining increase of 2 billion in RWA was due to business growth and higher market risk, partially offset by changes in methodology and improvements in book quality. Our book value per share increased 10% in the quarter to $52.98 per share. Moving now to our operating group performance and starting on slide 10, Canadian P&C results reflects the shifting economic environment with net income of 503 million up 4% from last year. Revenue was up 3% reflecting higher balances in fees revenue growth is expected to be higher in the second half of the year and the expense growth lower with and with this we expect better operating leverage. Total loans were up 4% and deposits up 7% from last year, personal loan growth was solid and impacted by our decision to limit growth in longer term auto loans last year. NIM was down three basis points from last quarter, largely due to lower loan spreads and personal lending. NIM is expected to be flat, slightly up over the remainder of the year. The expenses increased 6% year-over-year and 2% from Q4 reflecting continued investments in the business including the impact of cost associated with changing business and regulatory environment. Moving now to U.S. P&C on slide 11, we continue to see an improving trend consistent with the second half of 2014. In Canadian dollar terms, net income was 205 million, up 14% from Q1 of last year. In U.S. dollars, net income was up 3%, benefiting from higher revenue and disciplined expense management. Revenue at 720 million in U.S. was up 1% from last year driven by higher volume partially offset by lowering NIM MP revenue. Loan growth was strong at 10% year-over-year with continued, very good double-digit growth in C&I balances. Revenue was relatively stable quarter over quarter despite a NIM decline at 9 basis point, the NIM change was driven by competitive pressures on loan spread and the change in mix including loans growing faster than deposits.  Expenses continue to be well-managed and were down year-over-year and quarter over quarter. As Bill mentioned, our total personal and commercial banking business net income was up 6% from last year. Turning now to slide 12, BMO capital market’s net income of 221 million was down year-over-year and increased from Q4, results this quarter were impacted by several market-driven items, including a charge for credit and funding valuation adjustment of 41 million pretax, or 31 million after-tax and also by FX and deferred compensation hedging items and by slower investment banking activity. Revenue was down 5% year-over-year as good trading revenue was more than offset by credit and funding valuation adjustments and lower investment and corporate banking revenues in part due to lower security gains. Revenue was up 14% from the fourth quarter due to higher trading revenue. Excluding the impact of the stronger U.S. dollar expenses were down 2% from the prior year due to lower employee-related expenses partially offset by higher cost driven by changing business and regulatory environment. Expenses were up 9% from the prior quarter, due to hire employee related expenses including 23 million for stock based compensation for employees eligible to retire, increased support cost and the impact of the stronger U.S. dollar. Moving on slide 13, wealth management had good underlying business growth in the quarter. Traditional wealth earnings were up 28% driven by revenue growth of 265 due to the benefit of the acquired F&C business and higher fee-based revenue from good growth in client assets. Insurance net income was down from the prior year primarily due to a 41 million after-tax charge from movements in interest rates in the current quarter compared to $7 million charge a year ago. Traditional wealth management income was up 16% from the prior quarter, driven by business growth. Net income in insurance decreased quarter over quarter as Q4 was above trend and in Q1 we had the impact of lower interest rates. Putting these two units together, total wealth management net income was 186 million, up 2% from the prior year and down from Q4. Expenses were up year-over-year due to the acquisition of F&C, hire revenue based cost and the impact of the stronger U.S. dollar. Expenses were elevated consistent with Q4 due to 27 million in stock-based compensation for employees eligible to retire in the current quarter and for the settlement of a legal matter in the prior quarter. Assets under management and administration were up 43% percent and 18% excluding F&C driven by the stronger U.S. dollar market appreciation and growth in new client’s assets. Turning now to slide 14, the corporate services segment had a net loss of 74 million compared to a net loss of 41 million in Q1 of last year and the prior quarter, excluding the impact of the group head adjustment on revenue in taxes, year-over-year results were lower, primarily due to lower credit recoveries, higher regulatory expenses, higher taxes and the impact of a stronger U.S. dollar, partially offset by higher revenue, largely due to treasury related items, To conclude, despite a number of moving parts that impacted our results in the quarter, the underlying business performance was solid and continues to demonstrate the benefits of our diversified business mix and with that I will hand it over to Surjit.
Surjit Rajpal: Thank you, Tom, and good afternoon everyone. We had another quarter of strong credit performance. Starting on slide 16, Specific PCLs were $163 million, $7 million lower than in the prior quarter. In Canada, total losses in the personal and commercial business was stable while in the U.S. losses were lower.  Moving to the next slide, formations this quarter were $424 million, a decrease of $110 million compared to the prior quarter. Gross impaired loss increased quarter over quarter, solely due to the impact of FX. Our GIL ratio was relatively flat at 69 basis points. Turning to the topic of interest, on slide 18, our oil and gas exposure remains low at 2% and with 60% of it to investment grade borrowers. The portfolio group of $1.1 billion this quarter with the third due to FX and the majority of the balance coming from a couple of large investment-grade customers. We are diligently monitoring our commercial and consumer portfolios in Alberta as well as in other oil producing provinces and we remain prudent in the underwriting practices. As Bill discussed at the RBC Investor Conference, we stress tested our loan portfolio at $35 a barrel for 2015 and $50 of barrel for 2016. Under this stress scenario, the incremental losses from the oil and gas portfolio and the knock-down [ph] effects on the commercial and consumer portfolios, are very manageable. Of note, a low oil quest scenario is expected to benefit our U.S. loan book and our exposure in the non-oil producing provinces. I will now turn it over to the operator for the question and answer portion of today’s presentation. 
Operator: Thank you. [Operator Instructions] our first question is from Sumit Malhotra from Scotia Capital. Please go ahead.
Sumit Malhotra: Thanks. Good afternoon. First question is going to be for Cam Fowler, and specifically in regards to the commentary in Canadian P&C revenue. So the statement that first off you feel confident that you'll be able to hold NIMs flat to slightly up for the balance of the year, and couple that with your view that revenue trends get better as the year goes on, what are you seeing in either the macro backdrop or specific to BMO that gives you the confidence that those two items are achievable?
Cam Fowler: Thank Sumit. On the NIM side, we are down three points on the quarter, that’s a little bit of pressure on the personal lending spreads specifically in direct auto and mortgage needs. I expect that we’ll get much of that, if not most of that back in the second quarter and I think through the balance of the year, the reason I think it will stable to up modestly is that will have the combined benefit of improved spreads on the variables loans. I think we’ll have better balances and performance in the payments business and I think will continue to do very well on the deposit side, both personal and commercial checking on the personal side and pre-deposit on the commercial side and those have helped that. So that's what I think about NIM. With respect to the revenue, linked point, I just think there is more earning force in the back half of the year and the few areas where we haven’t done quite as well in the first quarter, payments is one area I think we have more opportunity in commercial lending and then as you as you know because I’ve discussed on previous calls, we dial things down a little bit in the longer M components of the indirect auto business 72 months and beyond and for that reason, and one or two others were quite slow and that did the market right now and I’d expect based on the activity that we have in the market and business development successes that we are having that will enjoy better growth in that and back half for the year. So for those reasons, I think revenue will be stronger.
Sumit Malhotra: One more here and then I'll re-queue, you might have to tag Tom in. In making the statements about net interest margin, are you contemplating any further action by the Bank of Canada in terms of the overnight rate, and your view that you can hold NIM stable to current levels or even improve it? And then secondly, card fees were down decently on a percentage basis anyway this quarter. Just hoping for an update here, I believe the Finance Minister, in the announcement made in November, had given the parties until April to implement the agreed-upon changes to the interchange fee structure. Can you talk about whether that implementation has taken place at BMO, and if not, how that affects your revenue outlook, particularly for the back half of the year? And I'll leave it there.
Cam Fowler: I will start with your follow up question on NIM. It’s difficult to say what will happen with the Bank of Canada or with competitive response. My own view is that we should be able to hold onto stable NIM in this business through the year. With respect to the card business and fee specifically, we are down a little bit on fees this quarter length to interchange and specifically on customer buying behavior on the retail side which is contributing about half of the miss on the fee side. The other half is a combined impact on the corporate side, which is a combined interchange and some high reward costs. With respect to the interchange adjustments and their effective day for April first, we are positioned to move in line with the expectation of changes to put on the network for those day stands.
Sumit Malhotra: Okay. So the decline in this quarter had nothing to do with the decreases having been implemented, there were other factors at play and you're expecting that to come into place to begin in April?
Cam Fowler: That’s right.
Sumit Malhotra: Thanks for your time.
Operator: Thank you. The next question is Steve Theriault from Bank of America Merrill Lynch. Please go ahead.
Steve Theriault: First, maybe just to follow up, Cam, you mentioned doing better in commercial in half two. I noticed coming into the quarter, it looked like industry loan growth on the commercial side was accelerating through your fiscal Q1. I noticed your loan growth was down a little. So maybe to start, just a quick update in terms of, are you giving up a little bit of market share? Are you seeing competition spike at all. I would appreciate your perspective there.
Cam Fowler: Commercial loan growth at 7%, a decent number for us right now. I think I take your point of deceleration that’s available or taking place. Ours is a tale of two halves, on the upper end of the midmarket, we're moving along quite well and in the core business, we are at a slightly lower number, so we get to a blended seven. The core business has just come through a major platform change through the course of 2014 where we replaced our lending platform which is going to be a great positive for the business going forward and we are just being digesting that from a capacity perspective over the last couple of quarters. So one of the reasons I think that we have good opportunity in the back half of the year, is that will have moved through that change and that traditionally very strong core commercial business will be moving better and it’s quite healthy in terms of what's happening by industry and by geography and by segment there. So that’s the reason for that.
Steve Theriault: So you'd expect that overall industry momentum to persist through this year, despite puts and takes across the economic backdrop?
Cam Fowler: Yes, I mean difficult for me to say. It feels very healthy and reasonably competitive right now.
Steve Theriault: Okay. And if I could, just a quick question for Tom. I noticed unrealized gains were up quite a bit in the quarter to the highest level we've seen in some time, looking at page 17 of the supplemental. Just a couple questions on the back of that. Is that just on the back of lower rates? And might this imply that we'll see a rise in securities gains in future quarters, if rates stay low? I also noted a footnote suggesting some of these gains may be offsetting certain hedges, so a little context there would be helpful, Tom, thanks.
Tom Flynn: Sure. So the unrealized gain numbers is up significantly as you’ve said to 850 million from 450, the lion share of that is simply driven by lower rates positively impacting fixed income portfolios and the majority of the portfolio would be hedged with a derivatives. And so I wouldn't read anything into this increase as it relates to an expectation for higher security gains going forward given that most of the portfolio is hedged on all-in basis.
Operator: Thank you. The next question is from John Aiken from Barclays. Please go ahead.
John Aiken: Good afternoon. Surjit, the point that you made was that there really was no real impact on credit quality, and I don't think anyone's terribly surprised by that. But when we look at the loans past due non-impaired, we did see a significant uptick, particularly in the bucket over the last month. Now, I know this is early days, but does a lot of that, particularly on the consumer side, is that largely concentrated in Alberta, or are there other factors at play here that I may not have drilled down too well enough?
Surjit Rajpal: Okay, thank you, Let me start off by saying whenever a quarter ends on a weekend, it’s not unusual to see, the early stage delinquencies to go up. And they generally get resolved right after the weekend and that has been the case with most of the delinquencies that we saw going up in this quarter for us. Having said that we have not seen yet any delinquency increases in the region that where employment is expected to decrease as a result of oil prices, all the unemployment is high right now but needless to say we are watching very carefully given economic environment and the economic factors that are taking place but nothing observable at this time for us to be able to report on it.
Operator: Thank you. The following question is from Gabriel Dechaine from Canaccord Genuity. Please go ahead.
Gabriel Dechaine: Just on the expense commentary that was made earlier, and how that's underpinning part of your strong second-half outlook for the Canadian P&C business, can you give me a sense of what your core expense growth can be in that business? And maybe at the consolidated level, what kind of expense growth the Bank can sustain, considering initiative spending and regulatory costs, how much of that has become a permanent structure, cost structure, I guess?
Cam Fowler: Thanks for the question. I’ll start and then I’ll pass it to Tom. If you look at the expense wrote in the Canadian business, it is relatively evenly split between our priorities around customer growth, the digitization of our bank and some of the regulatory capabilities that we've been pursuing recently. We also have the employee cost in the first quarter which we well familiar with. So those are all built in, when I think about that question with respect to sustainable cost for that Canadian business, I always have in mind the relative revenue opportunities that’s in the market right now, slightly lower growth environment, my numbers probably little bit lower. So numbers between 3.5 and 4, 4 unchanged, seem to me to be the types of numbers we should be aspiring to and I would expect that as the year goes by we travel towards those types of numbers in the Canadian business. Tom, may be answer the question. I will pass the question.
Tom Flynn: For the enterprise, I’d say a few things. As we look forward, will be managing expenses, tightly across the bank and we are expecting moderate expense growth from current levels over the balance of the year in Q1. As you know, we have the eligible to retire which increases the expenses in the quarter. So without those next quarter, we would expect the expense level to be down and expense growth for the year, to be adjusting for the currency which is significant in the lower single-digit.
Gabriel Dechaine: Okay. And maybe for Tom or Bill, I don't know, maybe there's a sense of impatience out there to see the banks pull back on costs, because what we see in the press really, about the slowing Canadian economy and the actions by the Bank of Canada, tied to weaker GDP growth prospects and as this connect between all that and the expense inflation we're seeing at the Bank, I guess my question would be, how long do things have to -- how much lower do they have to get from what we're seeing today before BMO or the industry really hunkers down on costs? I'm just curious about that.
Bill Downe: May be I’ll take a shot of that question Gabriel because it is one that we do give considerable thought to. The investment spend that the industry is making and specifically they were making in technology to track the change in consumer behavior as mobility, more online wraps up, and it's wrapping up relatively quickly. It's not a tap that you turn off and turn off intermittently, so I think that those expenditures, you really have to look at a 12 month to 18 months time horizon to think about wrapping them up at up or down. And then in the end, I would expect that the economies that come from many of those changes, we’ll start to track in a relatively soon. So I think we are going to see the benefits of some of that that elevated investment, both in consumer satisfaction, the ability to originate more business online which is streamlining of operations. On the broader question of the management of information in response to the appetite, the global regulars have for a granular data. I think that – we are probably as an industry, 75% or 80% went through that process. So I think looking out late two 2015 and 2016, we also see some benefits and I think your underlying question is this, if economic growth were slow – the real growth that is slowed as zero. But we would continue with a level of investment and expenditures that we have and I think candidly as we don’t think that’s a high probability scenario, but if that were to occur, that I think the response would be to simply slowdown, the rate of investment, expend the invest created over two or three years instead of the time horizons that we now have. So I do think that there is the ability to adjust, should economic growth slow more than we have in our plan. But I think to Tom’s comments, with respect to expense growth, it really relate to an overall belt-tightening in the current environment and extracting some economies from the investments we are making.
Operator: Thank you. The following question is from Robert Sedran from CIBC. Please go ahead.
Robert Sedran: Just as a quick follow-up and I hate to keep flogging the same issue but I think there's a bit of a dislocation and that the market is expecting the second half of the year to be harder than the first half of the year. So is the message from BMO basically $40 to $50 oil, interest rates do what they do, you're comfortable that your second half is going to look better than your first half, there's no real storm coming, is that the message we're supposed to take away from this?
Tom Flynn: I don't think we are expecting a big storm, we are not expecting a big storm. Clearly, parts of the country are adjusting to the lower price of oil and there will be some credit losses there but we are not seeing signs of those yet and we don't expect them to be problematic and in P&C Canada, as Cam has talked about, we see things in the business that lead us to believe that we’ve got upside in the second half relevant to the current quarter and then as well in capital markets, at the end of last quarter we talked about how we expected Q1 to be up from a relatively weak Q4 but not fully back to normal. And I think that's what you saw this quarter, the earnings were better than the fourth quarter which we expected them to be but not fully back to the average level of last year in part because of the evaluation items and in part because investment in corporate banking is a little softer. So as we look at the business, we certainly think that we’ve got upside from the capital market number that we reported in the this quarter.
Robert Sedran: Okay. And so that actually just takes me to the next question I had. Thanks for the color, Tom. The CVA, FVA impact in the quarter, how much of that was FVA? I was under the impression that last quarter was the vast majority of the impact, and going forward, it would almost not even be worth talking about. Was I wrong on that?
Tom Flynn: The majority of the combined impact was CVA and so there was some FVA but it was in the clear minority of the total. And the combined was above average, as you know. In part, because this quarter credit spreads widened and given the move in the FX rate some of our exposures increased. Those two things drove a larger than normal increase and most of that was driven by the CVA which really wouldn't be atypical because CVA is sensitive to kind of party credit spreads which were out in the quarter and exposure sizes.
Robert Sedran: So following those credit spreads is the best way to try to figure this out, and not worry too much about the FVA, is that fair?
Tom Flynn: That’s fair.
Operator: Thank you. The next question is from Meny Grauman from Cormark Securities. Please go ahead.
Meny Grauman: Hi, good afternoon. Question about the U.S. business, talk about margin pressure coming from competition and business mix. I'm just wondering if you can give us a little more detail in terms of the mix there, what was driving the decline in the margins? And then the second question is just on the expenses, down 2% year-over-year. I'm wondering what's driving that? Is that something that you see as a positive for looking forward over a number of quarters?
Mark Furlong: Okay. So first let me do margin. We had really strong loan growth again particularly on the commercial side and it's diverse, it's across markets and segments. And so that's -- as we continue to grow that portfolio, the new loans that we had come on, it’s spread's a little bit less than the spreads that are in the portfolio today and there's little re-pricing that takes place as well too. But that's just kind of the normal competitive pressure in the United States. I don't think there's anything unusual to that and in fact, we looked at our peer group and our loan growth was substantially stronger than our peers in the US and we had just a couple basis points more margin pressure than they had. So that's really -- that's what was going on with margin. From an expense standpoint, we're very focused on managing our expenses very well and we'll continue to be -- pay a lot of attention to that throughout the year. As you saw, the operating leverage popped and that's going to move around a little bit during the year and so we'll be attentive to that as well too. We're not in a downward trend on expenses. There's always a little bit of timing from quarter to quarter but we're going to be conscious of what the growth and expenses looks like on a year to year basis. But manage it tightly if you look across our quarters that are in the supplementary package, you get a pretty good sense of what the run rate of expenses are. While it moves around a couple million dollars, I think we found a pretty good place we think we can manage it relatively tightly, though it will move a little bit between the quarters.
Meny Grauman: So there's nothing in terms of notable initiatives that are part of this quarter? 
Mark Furlong: No, I think we always have initiatives under way to try and manage the expenses but there isn't any initiative other than trying to be better at what we do and more efficient and what we are doing and there are inside different business lines, there are various initiatives but not kind of one of those things that you'd read about in the newspaper. But just the things that it takes to be better and better at your business every year.
Operator: Thank you. The next question is Mario Mendonca from TD Securities. Please go ahead.
Mario Mendonca: Good afternoon. I have a couple of questions, I think we mostly can go through fairly quickly. Mortgage delinquencies in Canada did seem higher but I suspect this was mostly seasonality. Is that fair?
Surjit Rajpal: I wouldn't say it was seasonality. You have to look at it in the context of where they've been in the past. If you look at it on a year-over-year basis I think they've come down 3 points. Look at the trend. It's very much in the range that one would expect right now. So I wouldn't consider that seasonality. Nor would I consider this anything indicative of where the losses are. You're not seeing any losses increase either at this point.
Mario Mendonca: Okay. So you acknowledge that quarter over quarter this delinquency was up a little bit together?
Surjit Rajpal: That is correct. But I wouldn’t think it is—three basis points changes, not that significant.
Mario Mendonca: Okay and then moving on to oil and gas. I see that the drawn is up. The undrawn is also up. And it's the undrawn that surprised me a little bit. So maybe the question is did the drawn increase essentially from taking down the undrawn, is that what we're looking at.
Surjit Rajpal: No, the combination. There are two or three things that happened. One, we have the FX rates as well so that takes care of roughly about third of, the change would be because of FX because FX did change the drawn and the undrawn amounts almost in a similar fashion. We did have some new drawings from our existing borrowers and then there were new loans, so I think all in all it's a combination of those three factors where new commitment and FX cause a little bit of higher undrawn balance.
Mario Mendonca: Okay. Liquidity seemed a lot higher this quarter, things like repos, available for sale, securities, cash. Is this just normal business activity? Was there something special going on?
Tom Flynn: It was normal business. The two largest drivers were number one: the change in the U.S. dollar and a decent portion of the liquidity is in U.S. dollars and then secondly Q4 is a bit of a seasonal low point from a liquid asset perspective and so there is a bit of balance act in that.
Mario Mendonca: Just finally, on the ROE, and maybe this is a little more of a detail question. The Company's outlook for the ROE or guidance, or whatever, is materially higher than the ROE we've seen this quarter and the prior quarters. That 15% ROE, is that even a realistic outlook in the near term, or even in the medium term?
Tom Flynn: So few things. The ROE in the quarter, in parts reflect that significant increase in book value that we saw and that increase relates in part to the higher carrying value or our foreign investments in OCI and with that the book value for share is up 10% in the quarter which is nice and the higher book value insolates the capital ratio from the higher Canadian dollar value of the U.S. – risk weighted asset. And with the higher book value, there we has a bit of a negative impact. Some of that will flow through to next quarter because the period and book value is higher than the average for the quarter as the whole given when the currency moved. And with the higher book value, I’d say the target range that we had about there, will take a little longer to achieve and clearly will be pretty tough in the current year, given where we are, but we remain committed or working towards that number in the midterm and those numbers are midterm target numbers that we put forward. And so that's how we think about it.
Operator: Thank you. The next question is from Brian Klock from Keefe, Bruyette & Woods. Please go ahead.
Brian Klock: Good afternoon and my question's for Surjit. Surjit, again, I guess sort of a follow-up here on the oil and gas side. In Canada, I guess forgetting about the FX impact, it did look like you had about CAD500 million, CAD600 million of oil and gas increase there on the drawn. So I guess how much of that was E&P and upstream, versus the oil field services do you have that breakout available?
Surjit Rajpal: I don’t have an exact breakdown of the two but a lot of it was E&P and a lot of it was investment grade.
Brian Klock: Okay and then a follow-up question for Mark Furlong, and I'm sorry if I missed this. But I guess what are your expectations for loan growth in the NIM for the next two or three quarters this year?
Mark Furlong: I think we feel pretty good about what we have done particularly in the business side and the commercial side and I am not sure that we are good enough to predict percentage but we continue to feel that will give some good growth through the rest of the year and consistent with some of the trends that we have seen in the last few quarters. So I would say we feel very pretty positive about that and the consumer side, I think if the consumer picks up the United States will see a little bit of expansion there but right now it is down slightly in the quarter and the in the near-term there is probably doesn't change, may be about the back of the year will see some growth there. From a NIM perspective, so, so Surjit mentioned in the first conversation we expect that will continue to have some modest downward pressure on the NIM though not to the extent that we saw this quarter over the other side is that there is some upside benefit that we’ll see when the Fed begin to raise rates at some point down the road.
Operator: Thank you. The next question is from Peter Routledge from National Bank Financial. Please go ahead.
Peter Routledge: Hi. I guess this question for Darryl. I thought trading revenue looked pretty good this quarter, particularly in equities. And I mean, underwriting revenue actually didn't seem that bad, given what's going on in the quarter. So maybe if you can explain what happened to each, and then what's your outlook for each in 2015? 
Darryl White: Thank you for your question. I think the trading revenues in fact were quite good in the quarter. We are pleased with the revenue in the business, I’d point to a couple of things. The rates, if you're in the sub-pack, you'll see that the rates revenues were decent and the numbers that you see in there are after the impact of evaluation adjustment that Tom summarized before. So its quite a good quarter in rate. So it’s also good in equities and in equities as you know we have said before, in some quarters we have client activity which is lumpy and in nature and some quarters we don’t and in this quarter we happen to have a bit of that and if you look back over history, you’ll see that jumps around. So I think when you put the two of those things together, it was quite a good quarter, across the trading businesses and you asked a question on outlook, that’s obviously a much harder question to answer. It will depend on market conditions, assuming stable market conditions we are confident in the outlook for the rest of the year.
Peter Routledge: Turning to underwriting. Where did your revenue -- what industry segments did your revenues come from in this quarter?
Darryl White: We don't break that down specifically but I guess what I would be comfortable telling you that it was fairly well diversified and frankly a better balance than we've seen in the past which you might expect with the pull backup of some of the resources revenue. So we saw fairly diversified set of underwriting revenues across different asset classes as well as across geographies as well.
Peter Routledge: I don't want you -- I don't want to corner you into guidance, but assuming we get -- we're obviously the oil and gas sector isn't going to be great this year, but other sectors might do better because costs go down. Energy costs. Assuming that sort of scenario plays out, and we have pretty decent growth in the U.S. you're pretty confident in your ability to deliver underwriting revenues in and around where we've been this quarter?
Darryl White: When I step back and look at the underlying performance of the quarter and if you look at our revenues over all you see the underwriting revenues, you see the trading revenues, $921 million of our total revenues and that includes the impacts of the evaluation adjustments if you have excluded that impact that you would see that our total revenues are in fact better than the average of what we had last year. So when I look at the operating a potential of the business going forward, it's pretty difficult to call quarter to quarter as you'd imagine that we have said at the end of last quarter that we expected better performance in this particular quarter and I guess I would say overtime I would continue to be confident in that thing.
Peter Routledge: Just Tom, what was the methodology change for RWA?
Tom Flynn: The methodology change related to continue to move a portion of our U.S. portfolio towards full AIRB treatment away from standardized. So similar in character to what we saw last quarter.
Peter Routledge: How long does that go on for?
Tom Flynn: It can again very. So I think our advise would be look at the number we had this quarter, we are happy to have at this quarter and that wouldn't necessarily bake anything into to the future. But that said, we are not fully phased in on the AIRB at this point 
Operator: Thank you. The following question is Sohrab Movahedi from BMO Capital Markets. Please go ahead.
Sohrab Movahedi: Thanks. Tom, you talked about the ROE target being probably more of a medium-term target now. You also have some EPS growth targets out there, and operating leverage numbers out there. How do you feel about the shorter term achievability of those types of targets out there?
Tom Flynn: I guess the first thing I would say we exclusively don't give short-term guidance and their midterm guidance figures. And we have described that way we feel about, the year on this call and on the last quarter, we are always working hard to achieve positive operating leverage. Some quarters are easier than others but I would say for the year we are absolutely focused on that across the bank and across our operating groups and on the earnings target site, I'd rather not be any more specific than pointing to the mid-term nature of target that’s out there.
Sohrab Movahedi: So if I was going to ask the question slightly differently, which one of these three medium term targets would you say are the most difficult to achieve? Which one would it be, do you think?
Tom Flynn: I think that takes your question back to the first question.
Operator: Thank you. The following question is from Darko Mihelic from RBC Capital Markets. Please go ahead.
Darko Mihelic: Just a question on the card revenues and the -- you pointed to two things that caused them to be a little bit under range, I suppose. One is customer behavior. I guess less purchases, and then, I guess on the corporate side, there were higher reward costs. If I was a conspiracy theorist, I'd think people are using their points to buy groceries, and they're also using their card less, because they're nervous about the future. Do you have good data capture? Is any of this actually happening in certain geographic regions, or is the data capture just not good enough to dispel that conspiracy theory?
Cam Fowler: I would say its early days. It's not totally clear what was going on over the last ninety days or so I reference one thing that we're clear on which is in slightly different spending behavior in terms of both what is being bought and where it has been bought compared to what we might have anticipated. We don't have a longer data set on that, yet and so we will see and think regardless, the fundamentals for our business are as I described which is the ability for us to activate on the premium side, the new accounts we brought on last year, and to do a really good job on the core of our business in the next twelve months, that’s for our business. And behavioral, we’ll see but I still do see there would be meaningful upside for us in the payment business towards the back half of the year.
Darko Mihelic: And what about actual pickup of new accounts? Has that slowed as well?
Tom Flynn: It’s down just a little bit. It's not a big number. On the on the premium side, we wouldn't have expected the growth in your account over the last few months to be quite as large as it was over the 12 before just because we are not in the market quite as loudly but it is going quite well and more recently growth in originations in the branch and online are picking up. So I would say it’s a balance and sort of normal year but slightly slow start.
Darko Mihelic: Thank you. And then I don't know if I picked up, Surjit did you mention the watch list, if there's any increases in the number there?
Surjit Rajpal: No. There is no increase.
Operator: Thank you. The following question is from Gabriel Dechaine from Canaccord Genuity. Please go ahead.
Gabriel Dechaine: Actually one of my questions was asked. But figured I'd ask about the buyback. You were pretty active during the quarter. Do you expect to remain as active in 2015?
Tom Flynn: I won’t answer the specifics of the question but we were active in the first quarter as you saw. The capital ratio used to be very strong and so I would say based on our actions in the past and strength of the ratio, it wouldn't be unreasonable to assume that there would be some level of activity under the buyback over the next couple quarters.
Gabriel Dechaine: Okay. And then just another one on the cards, different type of question, though. A few of the banks have reemphasized -- last year was the year of the higher-end card initiatives, and it seems like there's more of a shift towards the lower end of the market, and cash-back cards as well. Do you have any initiatives there that you're undertaking? 
Mark Furlong: We have several products actively used underway that you will see come to market through the course of the year. We like cash back.
Operator: Thank you. The following question is from Mario Mendonca from TD Securities. Please go ahead.
Mario Mendonca: Good afternoon. A question for Tom Flynn. Page 11 of your report to shareholders referred to potential application of Basel III floor for RWA. What it will be helpful to understand there is, are we talking about mortgages, like RWA floor for mortgages, or what products are we talking about, and does this really matter? It would be impossible for us to think about how big this is, how important this is to the bank.
Tom Flynn: Yes we added that comment to the disclosure and really rather than referring to any particular product, we are acknowledging discussion that’s going on among regulators globally related to the extent to which risk-weighted assets are model based versus standardized factor based and the extent which you use floors when using models. And so really, we are not saying that we think this will be a really big issue. We are just acknowledging that there is a debate going and there is something that we are watching and it could be of interest to people. And really nothing more than that. On the mortgages specifically, I guess the only thing I could add is as you know the majority of the Canadian portfolio is government insured and I would say that we have no reason to think that the risk-weighting related to government insured product will change and so we are totally comfortable with that.
Mario Mendonca: And am I right in saying that was just a couple summers ago that OSFI's position on floors for mortgages was clarified, and so far is saying there was no intention of doing so? Is that a fair statement?
Tom Flynn: I forget the exact timing but there was a clarifying statement to that effect that was made slash I think that’s the message that people took from comments that were made. And so they've expressed that point of view on the topic.
Mario Mendonca: Okay and then finally IBG loans up at 11% quarter over quarter, I think a lot of that currency. Anything else?
Tom Flynn: You got about half of it right there Mario it’s about half currency and just half fundamental growth in the business.
Operator: Thank you. This concludes today’s question and answer session and I’d like to meeting back over to Ms. Ms. Sharon Haward-Laird. Please go ahead.
Sharon Haward-Laird: Thank you everyone. We are happy to take any follow up calls on investor relations and with will end the call. Thanks everyone.
Operator: Thank you. The conference call has now ended. Please disconnect your line at this time. We thank you for your participation.